Constantin Baack: Good afternoon, and good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships, and I'm joined today by our Co-CEO and CFO, Moritz Fuhrmann. Thank you for taking the time to join us for our fourth quarter and full year 2025 earnings call. Earlier today, we published our financial results for the fourth quarter and the 12 months ending December 31, 2025. The stock exchange announcement and the accompanying presentation are available in the Investors section of our website. Before we begin, please note that today's discussion includes forward-looking statements and indicative figures. Actual results may differ materially due to risks and uncertainties inherent in our business. Before turning to the presentation, we -- I would like to briefly reflect on the year 2025. We are pleased to report another strong quarter, concluding a year characterized by persistent macroeconomic uncertainty, geopolitical tensions, evolving trade policies and continued volatility in container markets. In this environment, our focus remained firm on disciplined execution. During the years, we have concluded multiple vessel transactions, including multiple strategic transactions with leading liner companies. We accelerated our charter backlog and fleet renewal, forward fixed vessels at attractive levels to increase earnings visibility and maintain a strong and flexible balance sheet with substantial investment capacity. As a result, we enter 2026 with a more modern fleet significantly enhanced forward coverage and a structurally stronger platform for long-term value creation. We'll explore these themes in more detail during the presentation. And with that, I'm happy to hand over to Moritz.
Moritz Fuhrmann: Good morning and good afternoon, everyone, also from my side, and welcome to MPCC's earnings call for the fourth quarter of 2025. Our agenda for today starts with the review of our Q4 highlights, after which we will spend some time on the current market dynamics as well as a first outlook into 2026. Starting with the highlights on Slide #3. We see a continuation of our very strong quarterly performance based on $126 million in revenue and $75 million in adjusted EBITDA. For the fourth quarter of 2025 full year operating revenue is $518 million and $306 million for adjusted EBITDA. As the result of the continued solid financial performance, the Board has declared the company's 17th consecutive dividend with $0.05 per share, representing 50% of the adjusted net earnings for the fourth quarter also being the upper range of our dividend payout ratio range. On the asset and fleet transition side, we have continued with an expansion of our [ dividend ] book by adding six 3,700 TEU vessels, bringing the total MPCC newbuilds on order to 17. The latest additions to the book have been contracted against 10-year time charter contracts with a top-tier liner operator. The total contract price of these additional vessels is around $293 million, which is nicely covered by the projected EBITDA of around $288 million. On general note, what is important to note is that all our newbuildings have been ordered against long-term charter contracts of 3, 7, 8 and 10 years allowing for substantial derisking throughout the fixed time charter period while at the same time, retaining significant upside potential during the remaining lifetime of the vessels. And these transactions, very importantly, are cementing our position in the market as a leading tonnage provider and feeder segment and also underscoring our strategic importance and the relationships that we have fostered over the last years with the top-tier liner operators. The newbuilding activity is also a very good reflection of the continued resilient container feeder markets. The majority of our fleet is fixed for 2026 with only 3% open days and nonetheless, we continue to discuss forward extensions as we speak with our customers to further lock in good rates and durations that stretch the coverage further into 2028 and 2029 based on the currently available durations of between two to three years. Our open days coverage has increased to 97% and 58% in 2026 and 2027 with a total revenue backlog of USD 2 billion. Looking ahead into 2026 and as the market remains very dynamic, we don't see, as of now, any negative implications as a result of the most recent Red Sea announcement. In any case, we will continue focusing on the execution and funding of our newbuilding book as well as remaining opportunistic towards further potential transactions in the space. And as for the 2026, we set our revenue and EBITDA guidance at USD 450 million to USD 460 million and USD 240 million to USD 260 million, respectively. Turning to the next slide and looking at some of the KPIs for fourth quarter and the full year 2025. Gross revenue and adjusted EBITDA came in above the previous quarter with close to $130 million and around $75 million, respectively. The markets are very supportive and the charter rates and durations remained strong, however, not at levels seen in 2021 and 2022. Full year 2025 gross revenue, again, $518 million and EBITDA on an adjusted basis of $306 million. Looking at the bottom left of the slide, our balance sheet is growing now at USD 1.5 billion while the net debt is down relative to the previous quarters to $150 million, our leverage ratio increased slightly to 33%, which remains very moderate. As mentioned before, the Board has declared a dividend of $0.05 per share which will be paid out in March 2026, bringing the full year dividend recorded in 2025 to $0.23 per share. Operational cash flow generation remains strong with $302 million for the full year of '25. Operationally, we booked a high -- a very good utilization with more than 98%, while OpEx has come down relative to the previous quarter, which is partly driven by year-end shifting effects into 2026. Looking at Slide #5, we reflect on what has been an incredibly active year 2025 for us here at MPCC, both operationally, but also investment-wise, which has been driving to a large extent, our fleet renewal. We concluded 20 fixtures throughout 2025, and year-to-date 2026, we managed to fix our vessels on an average of 2-year durations with rates north of $20,000 per day, and most of our fixtures were done on a forward basis, meaning renewing or extending the charters well ahead of the expiration date. We have also done package deals, meaning chartering out a number of vessels simultaneously to one client, providing valuable solutions to our customers. And I think importantly to note, our most recent picture for -- as Christiana at more than $27,000 per day for two years with delivery in Q3 '26, again, underlines the continued strength in the chartering market, which we take advantage of and increase our backlog and coverage. As to making our existing fleet more efficient, we have invested around USD 8 million across 12 retrofits. That includes high dynamic measures, improving vessels, efficiency by up to 25% in certain instances. On the divestment side, we have proactively divested 11 vessels with an average age of around 18, and an average capacity of 1,500 TEU, hence older and smaller vessels. Given the strong secondhand market pricing, we achieved total sales proceeds of more than $150 million, implying an NAV of between NOK 30 to NOK 35 based on our calculations. Part of the sales proceeds have been reallocated towards our newbuilding program that we have contracted in 2025 worth around $850 million across 16 vessels. The construction cost is almost fully covered by the contracted EBITDA as well as recycling value limiting our downsides while keeping substantial upside potential with vessels that are on average 8 years old at charter exploration. However, we will zoom in on newbuildings on the following slide being #6. So please turn to the next slide. After having ordered 8, 4,500 TEUs and 2, 1,600 high-cube TEU container vessels in the second half of '26. We have, as I mentioned before, shortly before Christmas announced another newbuilding transaction of 6, 3,700 TEU. That brings the total number of vessels ordered since the summer of '16, of which all again come with long-term charters. These additional vessels follow our usual and prudent approach as we combine asset investments with cash flow visibility, providing significant derisking throughout the fixed time charter period. As you can see on the left-hand side of the graph, total new building CapEx is around $850 million, which almost fully covered by contracted EBITDA and the recycling value of the ship -- the ships -- the attached time charters provide substantial earnings visibility as well as derisking -- and this essentially enables us to realize the upside value once the vessels are running off the initial charter periods. The vessels will be, as mentioned before, on average, roughly 8 years of age. And to put things into perspective, the current adjusted value for these vessels is north of $600 million to $650 million or even $700 million, i.e., a great combination of the minimum residual while retaining maximum upside potential. In general, we have taken and will continue to take a prudent approach to these investment cases, in order to minimize residual risks, the ability to structure and execute these transactions speak for itself and is, I think, a great testament to the importance of MPCC as a strategic partner to top-tier liner operators globally. And needless to say that these investments are further milestones in our fleet position efforts and wanting to underline that we have confidence that building an enhanced and future-proof asset portfolio will support generating sustainable and long-term shareholder returns for investors. On Slide 7, we have illustrated the fleet transition we have executed over the past four to five years and what measures were driving these. Firstly, as you can see on the left-hand side, the share of Eco vessels, meaning new builds and more than second-hand vessels as well as retrofitted vessels has substantially increased, standing at 75% today. Equally important is the fact that at the same time, our fleet has been growing to 68 vessels including the recent newbuildings we ordered and the average age of fleet has been reduced quite significantly over that time period from an average 2007 build to an average 2015 build as of today, and this transition ensures that our asset portfolio remains competitive and attractive to our customers, the line operators in particular, in times where regulatory and sustainability pressure on the industry is increasing. How did we achieve such a remarkable change in our fleet composition on the right-hand side of the slide, we have quantified our measures since 2021 being 21 newbuilds across multiple transactions worth around $1.1 billion. We have acquired 9 modern secondhand vessels in two distinct transactions for a total consideration of around $300 million and last, but not least, we have undertaken significant retrofit investments into our existing fleet, which, as shown previously, have resulted in substantial savings of up to 25% when it comes to efficiency. We will, going forward, continue focusing on accretive investments either into existing vessels or acquisitions that will enhance the overall composition of our asset base. Turning to Slide 8, the cash flow in the fourth quarter of '25 was again dominated by a good operating cash flow of around $75 million. On the investment side, we have paid down the first installments in relation to our two 1,600 high TEU container vessels. We ordered against an 8-year time charter. The overall positive cash generation improved the company's cash position and investment capacity to around $425 million by the end of December 25. In addition to the balance sheet liquidity, we retain further flexibility through our undrawn RCF, which has been renewed and upsized to $130 million. Lastly by paying our 16th consecutive dividend in the amount of $22 million in December, MPCC continues returning capital to shareholders north of $1 billion have been distributed ever since we introduced our recurring dividend. And as the Board has declared the next dividend, it serves as a good testament that we will continue to reward shareholders through capital returns. Going to the next slide, we see MPCC's balance sheet, which remains conservatively structured. We have in 2025 executed on a number of measures, namely vessel divestments as well as flowing secured and unsecured debt facilities to improve the company's liquidity position and therefore, investment capacity as we face needed fleet renew. By the end of '25, liquidity stood at $425 million. However, pro forma adjusting for expected yard payments in the first quarter of '26, MPCC has a pro forma liquidity of $477 million, including an undrawn RCF. In view of our fleet renewal efforts and newbuilding CapEx commitments to corresponding investment capacity is certainly essential, and at the same time, we managed to achieve this capacity without compromising the overall robustness of the balance sheet as well as flexibility. Following the recent prepayment of one of our senior secured facilities, MPCC's conservative leverage ratio stood at 33%. And with 32 debt-free vessels with a fair market value of close to $800 million. While gross debt stands at $472 million net debt, adjusted for pro forma liquidity remains very low and the invested portfolio with the charter-free market value of $1.5 billion provides additional comfort. Not surprisingly, the current newbuilding commitments will be partly funded through debt, which will be secured and sourced in due course, initial discussions we have had with potential lenders indicate a very healthy appetite for modern feeder tonnage, secured by long-term charters. Once fully delivered, the company's gross debt is expected to grow, however, leverage will be supported by the cash flow visibility attached to those vessels. Worthwhile to mention is our sustainability performance, in particular, concerning our senior unsecured sustainability-linked bond where our greenhouse gas reduction KPI for the MPCC fleet of 10% by 2029 has already been met now, with a recorded reduction of 16.5%, largely due meaningful retrofits on the existing vessels as well as sales of older, less efficient tonnage. Going forward, we will ensure to use the investment capacity as prudently as we have done in the past by identifying and executing on shareholder accretive transactions that help building a future-proof fleet. And on that note, I hand over to Constantin for the market update and the outlook section.
Constantin Baack: Thank you, Moritz. I would like to continue with the next agenda point, the market. Throughout the previous quarters, we have noted that volatility is here to stay. And looking back at the year 2025, this has been indeed a structural theme. Looking ahead, we expect elevated uncertainty to persist well into 2026 and likely beyond. Three major forces shape our current outlook, moderating macroeconomic growth, ongoing geopolitical fragmentation and normalization in container markets after an extended period of elevated earnings. Starting with the global economy illustrated on the left-hand side, the IMF forecast global GDP growth of approximately 3.3% in 2026 and 3.2% in 2027. World trade growth, which is estimated at around 4.1% in 2025, is expected to moderate to roughly 2.6% to 3% in 2026 before recovering thereafter. Risk remain tilted to the downside. Protectionist policies, fiscal pressure in key economies and the lagged effect of monetary tightening continue to create headwinds. The key dynamic for 2026 is the political bullwhip effect. During 2025, we observed elevated front-loading activity as importers accelerated shipments ahead of anticipated tariff and policy changes. As the effect unwinds, some normalization in trade volumes should be expected and is already observed today. Turning to geopolitics. The Global Economic Policy Uncertainty Index shown in the middle of this slide, remains structurally elevated. Unlike previous disruption periods, uncertainties to longer spiking and receding. It remains persistently high. Rising trade tensions and protectionist policies are reshaping global supply chains. Cargo flows are being rerouted. New trade alliances are forming and strategic bottlenecks such as the Suez Canal and the Red Sea remain pivotal variables for 2026. A sustained return to Suez routing would release effective capacity back into the market with direct implications for freight rates and overall supply and demand balance. For liner operators, that represents earnings risks. For nonoperators like MPC container ships, forward tonnage availability remains tight, and the majority of our fleet is committed at attractive levels for the 2026 and beyond. The key takeaway is that structural volatility rewards resilience, balance sheet strength and forward contract coverage. Companies that anticipate and adapt will outperform. That is our clear view. While freight rates softened, and that can be seen on this slide, compared to the peak levels seen in 2024, they remain above long-term historical averages. At the same time, time charter rates have proven notably resilient throughout 2025, holding at historically attractive levels, despite ongoing freight volatility. The Harper Petersen Time Charter Index that you can see here, moved largely sideways at elevated levels during the year, demonstrating that charter markets have been largely unimpressed by short-term freight swings. Carriers have continued to pursue freight and tonnage simultaneously even as Liners profitability has diverged. Some operators have already reported slightly negative margins in the fourth quarter, while others remained slightly profitable yet overall demand for vessels has continued to be firm. As I mentioned on the previous slide, forward availability of tonnage continues to be tight. Market data indicates -- and that can be seen on the very right on this slide that roughly 25%, we have 25% lower year-on-year availability and significantly lower availability than historical averages seen in the pre-COVID period. This is underlining the limited prompt supply. This sustained demand is also reflected in the asset market. Secondhand vessels or vessel prices increased throughout 2025 with the Clarkson secondhand price index reaching levels last observed in 2011, excluding obviously the extraordinary pandemic period. Meanwhile, new building prices have remained broadly stable as can be seen on this chart. The message is clear, supply discipline, particularly in the smaller vessel segments continues to underpin the charter market. With that context in mind, let us now examine how global trade flows are evolving and looking at the demand side. Looking at this slide, one of the dominant themes throughout 2025 has clearly been the escalation of U.S. tariff conflicts, where tariff levels in the rest of the world have remained around 3.5%, the effective U.S. tariff rate increased from below 4% at the beginning of 2025 to approximately 18.5%. This development, as illustrated on the right -- on the left-hand side actually has materially influenced global trade patterns. At the same time, global container trade grew by around 5% in 2025, which has exceeded expectations. However, the composition of their growth shifted significantly. North American container imports declined despite ongoing economic growth while Far East exports recorded strong expansion. Recent estimates indicate the China's total trade surplus increased by roughly 20% during 2025, reflecting a continued reorientation of trade flows towards China and Asia. The polarization becomes particularly visible when looking at specific trade lanes. And that can be seen on the left hand side. Despite overall global container demand growth of approximately 5%, the transpacific trade connecting the Far East with North America declined by around 2% to 3% during the year. In the contrast, other shorter trade lanes expanded rapidly, including routes from the Far East to the Middle East and to parts of Africa. In other words, trade volumes are not collapsing. They are being rerouted -- after several recent trade agreements that did not involve the United States, global trade appears to be reorganizing with closer integration among other regions while the U.S .bond volumes soften. For our business model, the shift is highly relevant. Intra-regional and emerging market trends at trades rely disproportionately on the feeder and midsized vessels, which aligned closely with our fleet focus. With that shift in trading patterns in mind we now turn to the structural composition of the supply side. When you look at fleet fundamentals on -- in general, what we can observe is a clear structural imbalance in the smaller vessel categories and more broadly, a disconnect between where we think ships are being ordered and where, in our view, they are most needed. In our core segment of 1,000 to 6,000 TEU, there are currently more than 800 vessels above 20 years of age. The order book in this segment even after the recent increase in contracting activity amounts to roughly 430 units. In other words, the replacement pipeline does not fully offset the aging profile of the existing fleet, and order book-to-fleet ratios remain moderate. In contrast, the ultra large segment above 12,000 TEU shows a very different picture. And all of that can be seen on the graph on this slide. Basically, looking at the polarization between fleet age and new ordering, this is what makes a structural imbalance increasingly visible. At the same time, emerging markets are expected to deliver a stronger GDP growth in advanced economies and have been driving instrumental container demand in recent quarters. In the third quarter and in the fourth quarter, global container demand increased by approximately 1.5%. Excluding North America, September growth was close to 9%, underlying the growth in ports of emerging markets. Having said that and having looked at this imbalance in -- on the supply side, let's move on to the supply side and to the market drivers. As we look ahead, the container shipping market continues to be shaped by a range of uncertainties. At the same time, these challenges also create opportunities. The very forces that are disrupting global shipping are also acting as catalysts for innovation, differentiation and long-term resilience. First, the ongoing back and forth U.S. trade policy announcements continues to create a volatile and largely unpredictable framework for global container markets. Tariff measures are being introduced, post, escalated, renegotiated at a pace that makes medium-term planning increasingly difficult for importers and carriers alike. The practical consequence is a market characterized by reactive booking patterns, shorter lead times and elevated freight rate volatility. Second, the Red Sea. The Red Sea remains one of the most consequential variables for container shipping in 2026. While we have seen initial lineup transits through the corridor, the timing of a broader and sustained return remains highly uncertain. Security conditions continue to evolve and liner operators are understandably cautious about committing to routing changes that involve operational risk and additional costs. It is therefore important to recognize that even a gradual normalization of Red Sea routing would not automatically be positive to the market. A phased return would progressively release effective capacity that has been absorbed by longer voyages around the [ Cape of good Hope ]. This additional capacity could weigh on freight rates and indirectly on harder demand. We are obviously monitoring these developments closely. Against this backdrop of mainland trade uncertainty intra-regional trades have once again demonstrated resilience. Five exports into emerging markets have recorded consistent growth and intra-regional routes outperformed mainland trades during 2025. The outlook for 2026 remains constructive. This is structurally important for our fleet positioning. Intra-regional and feeder trades rely disproportionately on smaller vessel sizes, which directly align with our fleet focus. Finally, despite a record high aggregate order book across the container shipping industry, the feeder segment remains structurally underinvested. The sub-6,000 TEU fleet carries an order book-to-fleet ratio of roughly 15% to 20%, significantly below the levels seen in larger categories. In summary, uncertainty remains elevated, but the structural setup in our core segment remains constructive and supportive. With that, let me now turn to the next part of today's presentation our company outlook. Let me start with the charter backlog on our fleet. On the left-hand side, you can see our forward contract coverage which has been significantly enhanced for 2026, 2027 and the years beyond. As Moritz explained earlier, we have actively utilized the strong charter market, including the conclusion of forward fixtures at attractive levels. Combined with the employment secured for our newbuilding program, this has allowed us to meaningfully increase our backlog. In total, we have secured approximately USD 2 billion in forward revenue backlog, which translates into around USD 1.2 billion of projected EBITDA based on minimum contracted periods and conservative assumptions. Our contract coverage stands at 97% for 2026, 58% for 2027 and 35% for 2028. The backlog includes 17 newbuildings under construction, all integrated into our forward employment profile. This level of coverage provides strong multiyear earnings visibility in what remains a volatile market environment. In fact, our forward revenue visibility for the next couple of years has never been stronger than it is today. On the right-hand side of the slide, you can see how the backlog has developed over the past 12 months, illustrating both the revenue consumed during the year and the additional backlog added bringing us to the approximately USD 2 billion today. Discipline and rational decision-making has been central to how we -- we navigate MPCC through changing market conditions and we will continue to act in the best interest of both our customers and our shareholders. With that foundation of earnings visibility in place, let us now turn to our open positions and then discuss how we continue to enhance our fleet and position the company strategically going forward. Looking at Slide 18, the number of days for 2026 available days, open days is limited, when viewed against our total available days for the year and overall contract coverage. This is a deliberate outcome of our forward liking strategy and reflects our focus on earnings stability. The exact number of upcoming open positions depends on whether the charter customers really win the vessels within the agreed redelivery window. The chart on the right -- sorry, on the left takes a conservative view and considers the minimum period, i.e., the earliest possible delivery date. In total, this would translate into 15 vessels being up for charter renewals in 2026. Applying the maximum period, this number will reduce to only 7 vessels in 2026, which is represented by the gray column. The graph on the bottom right of the slide also shows the distribution across vessel sizes this in 2026 based on minimum periods. Now putting the open charter positions into perspective with the current market, please refer to the table at the top right, where the current market rates and the periods are shown for standard feeder vessel sizes, modern Eco designs would likely get premium rates and/or even longer periods. What I can say is that on our very own fleet, we are already entertaining a number of discussions on charter forward fixtures -- we are, for example, presently we have a ship on subs on a Q4 2026 redelivery position for a 2-year period in line with the range as far as the rate is concerned, is here at the top right. So overall, we continue to see a firm charter market, both for prompt as well as forward positions and let us now turn to our strategic execution and how we are positioning the company for the years ahead. Taking a step back, over the past periods, we have executed what we would describe as a transformational yet disciplined fleet renewal. Importantly, this has not been growth for growth's sake. Every transaction has been assessed against return threshold, balance sheet impact and very importantly, long-term strategic fit and relevance. A central pillar of this renewal has been our focus on charter-backed newbuildings and strong partnerships with our charter customers who have become very selective in whom they partner with, in particular for longer-term strategic charter transactions -- by securing employment in parallel with our investments, we have materially derisked our capital expenditure program and protected the forward cash flows. This approach has allowed us to modernize the fleet while maintaining earnings visibility and financial stability. At the same time, and as Moritz has explained in detail, we have actively captured market opportunities on both the sale as well as the purchase side. We have divested older tonnage at attractive levels and reinvested selectively into modern vessels, strengthening our relationship with top-tier liner companies. On the financing side, we have continued to diversify our funding base, enhance our financial flexibility and reduce our average cost of debt. This has strengthened our balance sheet resilience and expanded our strategic room to maneuver. In total, we have executed over the years to more than 100 vessel transactions. Simultaneously, we have distributed more than USD 1 billion to shareholders demonstrating free to renewal growth and shareholder returns are not mutually exclusive, but can we deliver the parallel through disciplined capital allocation. Today, we stand with significantly modernized fleet, approximately $2 billion in secured revenue backlog and a strong flexible balance sheet with the potential liquidity at hand. This combination defines our structural position as we enter the next phase of the market cycle. Looking ahead, our priorities remain clear and consistent. Now looking ahead at 2026, our forward focus remains structured and consistent with our strategy. First, we will continue pursuing balanced charter line fleet renewal. This means investing selectively in modern, efficient tonnage where employment visibility supports the investment case while avoiding speculative exposure. Renewal will remain paced, return-driven and aligns with our customers' demand. Second, we will continue to optimize our portfolio through active high grading of the fleet, where attractive opportunities arise, we will divest older on noncore vessels and recycle capital into assets that strengthen our competitive position, improve efficiency and enhance our earnings quality. And third, we will remain prepared to deploy capital opportunistically in volatile markets. Market dislocations often create compelling entry or access points and our balance sheet strength allows us to act with speed and disciplined when risk-adjusted returns are attractive. At the same time, we will continue to diversify our funding sources and maintain strict cost discipline, preserving financial stability, flexibility and maintaining the competitive cost of capital, which we believe is essential to navigate in this uncertain market environment. We also intend to further deepen our strategic partnerships with leading liner customers, long-term relationship is very important in the container market. Finally, we remain committed to a reliable capital stewardship and sustained shareholder distributions balancing reinvestments for future growth with attractive returns to our investors. In summary, our objective remains clear to combine resilience with long-term value creation through disciplined execution across cycles. With that, let me conclude. So let me close by summarizing-- by summarizing the key messages. First, we have further enhanced our charter coverage and built a strong backlog. With approximately $2 billion in secured revenue, we have achieved contract coverage 97% for 2026, 58% for 2027 and 35% for 2028. This provides substantial earnings visibility and clearly underpins cash flow stability over the coming years. Second, we continue to execute a proactive fleet strategy. We have divested older vessels at attractive levels and revested into modern efficient tonnage, strengthening our strategic positioning and ensuring long-term competitiveness in our core segments. Third, we remain focused on shareholder value creation. Our approach combines recurring distributions with disciplined reinvestment into attractive growth opportunities. This balanced capital allocation model is designed to generate sustainable long-term value across midcycles. For full year 2026, we guide revenues in the range of USD 450 million to USD 460 million and EBITDA between USD 240 million and USD 260 million. This guidance reflects our high level of contract coverage and current market visibility. Finally, while the market outlook remains uncertain, our strategy is clear. We focus on what we can control. Disciplined execution, opportunistic capital deployment, fleet transition aligned with customer demand and maintaining a robust balance sheet. This disciplined and resilient approach positions MPC container ships to navigate volatility while continuing to create value. This concludes the presentation for today. Thank you for your attention, and we're now happy to take your questions.
Moritz Fuhrmann: And I would start with the first one, which is regarding dividend policy. And the question is, under what conditions would you consider a return to your earlier more generous dividend policy. As I alluded to in the presentation also over the last couple of quarters, we have revised the dividend policy early last year in order to ensure we maintain a balance between ensuring to invest into long-term value for the company and long-term competitiveness of the company by also investing into fleet renewal versus still maintaining a sustainable and thorough dividends and hence, rewarding investors and shareholders accordingly. And that is obviously also a bit subject to the market environment. That's also why we have now included a range of 30% to 50%. We believe. And for last year, we have paid still a double-digit dividend yield, which we still deem very competitive, in particular, comparing to the market that we operate in, where we, at all times, also want to make sure we maintain the right fleet, a modern fleet that creates long-term value for the company. So if we obviously were to see a very extraordinary market environment, we would, of course, consider to also possibly adjusting returning capital investors to the higher end. Having said that, in a normal market environment, we believe that the dividend policy as we have established it allows us to balance developing the company further, creating long-term value, staying competitive also vis-a-vis our customers as a good partner and at the same time, rewarding shareholders. So I think for the time being, we believe this is a very balanced distribution policy and capital allocation strategy that we pursue. And that we have, in fact, in particular, last year, created a lot of long-term value for the company and its shareholders.
Constantin Baack: Coming to the second question, which is somewhat balance sheet related. Last year, net debt decreased about USD 60 million, which is value creation for shareholders. Can we expect an equivalent reduction in net debt this year? I would say, generally speaking, as long as we are cash generative from an operating perspective, which we are -- and we will be able to serve the contractually debt obligation in terms of contractual repayment profile, yes. The net debt is expected to decrease over the course of 2026. You have somewhat an offsetting factor being the next newbuilding installments that are due in '26. However, the lion's share of the newbuilding installments will be due during '27 and '28.
Moritz Fuhrmann: All right. Then there is another question. Congratulations on a solid year and outlook. You commented on asset sales and the related implied NAV per share. Currently, would you explain what you mean by the implied NAV per share and how it is calculated. So what we basically do is we reverse engineer the vessel values from the company's equity market valuation. Effectively, we translate the prevailing share price into an implied value per vessel. And the allocation across vessels is based on their relative weight derived from external broker valuations or internal assessments. In other words, at the prevailing share price, each vessel carries a market-implied value as reflected in the company's enterprise value or market cap for that matter. And when a vessel is then sold off, we compare the achieved sales price with this equity implied vessel value. Any difference then represents value creation or dilution relative to what the market had priced in, and this translates into a corresponding NAV per share impact. Obviously, certain balance sheet items such as cash and outstanding debt are considered as well. And just as an example, in case of [indiscernible], which is the latest sale that we have announced the achieved tail price corresponds to approximately mid NOK 30 per share and this is based on this kind of reverse engineered equity market framework. So this is the way we approach it. I think it's not uncommon in the industry. And this is how we arrive at basically creating value by selling certain assets at an implied significant premium to current trading. Next question is, will or have MPCC considered to change currency from U.S. dollar to euros in the accounts in the close future. First of all, shipping is a U.S. dollar-denominated business, which is the functional currency. So to answer the question, we have not and will also very unlikely consider going forward, in particular, as our income, but also most of our expenses are in U.S. dollar. And by using euros in the accounts, we would also expose ourselves to the core and very volatile financial markets, in particular, when it comes to U.S. dollar and euros, which is obviously something that we also want to avoid. Next question is market related to what extent would a return to Red Sea, Suez transits affect the small midsized markets, there are potential pressures from larger vessels cascading down from such a capacity supply shock. I think, first of all, the potential reopening of the Red Sea and Suez Canal contrary to the most recent announcement by a few of the big liner companies remain very uncertain. There was mixed messages from [indiscernible] but also from CMA, who has been particularly outspoken about not using the Red Sea at the same time, seemingly stable rattling between the U.S. and Iran is increasing. So from our perspective, it is very unlikely that we see a meaningful reversal in the foreseeable future. But to your particular question, looking in isolation at the small to midsized market, none of these vessels is actually transiting the Suez Canal. So there's no direct impact once the Red Sea is opening, but there's an indirect impact, obviously. So all the vessels, whether small or large, part of the same supply chain. So there will be a trickle-down effect if a meaningful portion of the additional demand that has been derived from the rerouting around the [indiscernible], there will be a trickle-down effect also to the smaller sizes. The only difference to what we have seen in the past. Now is that -- we have a very interesting constellation in particular on the feeder segment, meaning we have a very old fleet on the water. There's seemingly a lot of vessels going forward being pushed out of the market. You have an order book that is too small to replace those vessels leaving the market potentially in the future. And at the same time, you have a very, very healthy underlying demand, in particular for feeder trades being the intra-regional trades. So from that perspective, in a scenario where the Red Sea is opening again and you see pressure from larger vessels. We believe that the magnitude of that impact is not as severe as some people might expect.
Constantin Baack: All right. Then there is another question regarding focus and that is over the past year, you have focused on newbuild ordering to renew the fleet. Could you talk a bit about whether you see any modern secondhand opportunities as well? Or is pricing too steep. We are -- and the year before, so 2024, we have actually acquired some equal secondhand ships last year. In 2025 the opportunities were quite rare. Most of the Eco vessels are either on long-term charters and not for sale or quite a number have actually been acquired by liner companies at quite see prices. So we would be quite interested in also buying some more modern secondhand vessels, because we do believe they have technically and also from a valuation standpoint, at the right price, a solid future. Having said that, price levels are fairly large and the derisking of that large price or high price level is, in our view, not necessarily justifiable. And in addition, as I said, very few vessels available, if any, at this stage, there might be going forward, some resale opportunities. I wouldn't rule that out. But for the time being, we do not see us as a buyer in the secondhand market, we have, as we have shown rather been on the selling side recently.
Moritz Fuhrmann: Next question relates to our recently announced joint venture that would it be possible to provide some additional information on which vessels it relates to. Also, will you be reporting that you'll be using the equity method as the vessels are delivered. The vessels and questions are #2 and #4 of that series that we have contracted in the summer of 2025. And given it's a 50-50 joint venture, vessels will be nonconsolidated from a P&L perspective, the vessels will be reported through profit in investments, as we have seen in the past when we had a joint ventures previously. We have also seen the results of those joint ventures coming into our P&L through profits in investments.
Constantin Baack: There is another question regarding vessel acquisitions. As you think about incremental vessel acquisitions or orders, is there any appetite to go for tonnage above 5,500 TEU. I would take a step back and say there's appetite to buy the right assets in terms of entry price, derisking and also future proof of the ship, we would think of vessel sizes that we look at anything that is related to intra-regional trades and intra-regional trades develop. So we would also look at ships up to 8, maybe even 10,000 TEU if the value proposition and the derisking is appropriate. Anything above that is at least at this stage, certainly not intra-regional tonnage, and we would not look at. Having said that, the bear fact that we haven't bought any ships of that size also shows where we see value, and that has been more in the -- in the midsized vessel sizes. But I wouldn't rule out that we go also larger than 5,500 TEU -- to the extent the same metrics and the same parameters apply that we deem attractive, similar to the ones that we have done over the last couple of years.
Moritz Fuhrmann: Then there's a question relating to the coverage that we have reported of 97% for 2026. Is that percentage dependent on when your customers redeliver the currently leased vessels. Yes, it is. Luckily, we are operating in an environment where the redelivery windows are relatively tight. We have seen different scenarios in the past. In terms of reported coverage, we're rather conservative in using the mid to midpoint of those redelivery windows. So from that perspective, if the market holds up firm, and the liner companies are using the maximum redelivery rate. There is some upsides. There's certainly some upside to the coverage. The next question is relating to our guidance. Your full year 2016 EBITDA guidance implies a 22% year-on-year decline versus a mere 5% -- 4% top line drop. Do you expect inflated operating expenses in 2026. The reason for the discrepancy is a bit unique. So in fact, our revenue is inflated to a certain extent. So purely looking at the time charter equivalent, we have seen or we see a drop in revenues relative to last year. The revenues under IFRS looking at gross revenues is inflated due to an increasing compliance cost in particular, EU ETS and fuel and maritime. That's why the drop in top line is not at the same extent you see as to the compliance cost that is from a bottom line perspective, it's a zero-sum game, so you have inflated top line, but you have also inflated voyage expenses. So bottom line, there is 0 implication on the EBITDA, explaining why you have a steeper drop in EBITDA. Needless to say that on the cost side, we have seen some inflation impact, but certainly not to the extent explaining a big discrepancy, as you pointed out, between revenue and EBITDA. So the main reason for that is that the top line actually is inflated by compliance costs.
Constantin Baack: Then there's one more question regarding new buildings. Are you going to order more newbuilding vessels as all ordered newbuildings are already chartered out? I would say that's not the way we look at it. The way we look at it is to find the right ships and the right transactions that meet our criteria of also creating long-term value for the company. It could well be that we're exploring further newbuildings going forward. And to the extent that you know the parameters, and that means, in particular, a solid derisking, a solid let's say, fairly low cash breakeven after the initial charter. Those are, for example, parameters that we look at. And of course, the counterparty and the partnership. We have also been able around new buildings to also extend certain secondhand ships that we have on charter. So it's also more a strategic perspective on newbuilding transactions -- but I would certainly not rule it out, but I think we have done a pretty good job in our view, at least as far as fleet renewal is concerned, bringing down the average building year or bring -- actually up the average building year of our fleet from 2007 in 2022, now 2015. So a significant modern vessel, not just vessel fleet, not only in terms of age, but also in terms of design and specification and future proof of the fleet. So the long answer to your question, short answer is yes, we would still consider to add some new buildings here and there. But we also think that we have already taken some key steps in renewing the fleet and having a very modern and attractive fee creating long-term value for the company.
Moritz Fuhrmann: Then question on the costs, OpEx, G&A and net interest were all down quarter-on-quarter. Do you expect this level to continue going forward? I would wish it were to continue. Unfortunately, on the OpEx side, in particular, you had some shifting effects certain items into '26. Hence, the OpEx are bit lower than expected going forward, at least on the budget, we expect similar cost -- similar costs relative to '25. Also G&A, we at least for now, don't foresee meaningful increases, so also rather expecting similar cost to the year before. And as to the net interest at year-end, we had a very, very high liquidity position, which obviously is invested in short-term money markets. Hence, we've been earning quite good interest income. The interest environment is still good, depending on the new Chairman of the Fed in the U.S. depending a bit on what the U.S. dollar treasury rates and interest rate will do expectations in the short term that interest will go down, hence, also having a potential impact on our interest income. So -- from our perspective, we would rather expect the net interest to increase going forward again.
Constantin Baack: Yes, there are, at least at this stage, no further questions. So we think we -- we call it a day then. Thank you very much for the questions, for your interest in the company. And as far as we and MPC Container Ships is concerned, we are looking forward to 2026. We have -- we're sure it will be an interesting year. We have good backlog, and we are excited about the year ahead. And again, thanks for your interest and looking forward to continuing the journey with you. All the best. Take care. Bye-bye.